Operator: (Operator Instructions) I’d now like to turn the call over to Kate from Emmis Communications.
Kate Snedeker : Thank you for joining us for today’s Emmis Communications conference call regarding fourth quarter and full year earnings. I want to extend a special welcome to all the Emmis employees who are joining us and listening in and those of you listening in from our website www.Emmis.com. We’ll begin in just a moment with opening comments from Chairman and CEO Jeff Smulyan and Pat Walsh, CFO. After their opening comments our conference call moderator will come back on the line to instruct you how to submit questions. On the line to help answer your questions is Rick Cummings, President of Emmis Radio. A playback of this call will be available for the next week by dialing 1-203-369-1082. This conference call may include forward-looking statement within the meaning of the Private Securities Litigation Reform Act of 1995. Please refer to Emmis’ public filings with the SEC for more information on the various risks and uncertainties. Additional disclosure related to non-GAAP financial measures can be found under the investors’ tab of our website.
Jeffrey H. Smulyan : We said last quarter, and I said that we were optimistic that we would reach the bottom and that things were looking up. I feel more strongly about that now, a few months later. That’s not only true for the company but I am seeing some signs in our industry that are very encouraging. Let me elaborate. At Emmis in our domestic radio segment we’ve cleared caught our markets as many of you remember, we lagged behind our markets quite a bit last year at this time. We’ve now caught our markets and we expect this year that we will actually exceed market revenues in our market. The turnaround is especially pronounced in New York where in New York we’ve beaten our market five of the last six months and that’s even made more compelling we think because we have a brand new turnaround, a new format launch at 101.9 which is WRXP, New York’s Rock Experience. Ratings have been consistently good. Power 106 is back to number one in Southern California in our target demographic 18 to 34. KISS and HOT both have performed very, very well in New York City. We’ve had an especially good set of ratings in Austin, St. Louis and Indianapolis, very, very strong books, couldn’t be prouder of our performance. So, in the domestic radio segment there’s no question that we feel we’ve turned a corner but it’s more than that. Year-end performance at Emmis International, we had a very, very good year there. In addition to that, we just celebrated our 10th anniversary at Slager and Slager had celebrated the best ratings in the station’s history, by far the best ratings in the country’s history. We couldn’t be prouder of Slager as well as our new format launch in Bulgaria with our rock station which complements our networks there, as well as the continued spectacular success in Slovakia. Emmis Publishing, an excellent, excellent year. You’ve seen the numbers, we could not be prouder of our publishing group. Not only great sales performance and SOI but also significant editorial achievements highlighted last week by the recipient by Atlanta Magazine winning the National Magazine Award, a remarkable achievement that we could not be prouder of. Emmis Interactive is our newest division. This continued its great work including today’s announcement reached with Apple and their iTune stores. This is just another example of the innovation of Emmis Interactive which has been renowned by broadcasters as being on the cutting edge of redefining how radio is conducted not only in the United States but now elsewhere in the world. Another place that our people have led that I couldn’t be more pleased with is in creating the Broadcasters’ Traffic Consortium. You’ll hear more about this but it’s a partnership with NAVTEQ and Traffic.com which will deploy through HD radio technology traffic information. And, this is just the first step in providing all sorts of information to consumers in new and very, very novel and productive ways. We’ve also beefed up our corporate staff with the hiring of Terry Hardin, he’s our new head of sales and we couldn’t be more pleased that Terry has come on board. And, our industry is also fighting back. We have talked about this industry needing to come together and it now is doing so. I think as the industry has bottomed out, we’re certainly in a tough economy but I’ve seen more progress from our industry in the last six months than I’ve seen from it probably in the previous 15 years and whether it’s the Katz-Interep-RAB National Sales Initiative or Radio 20/20 which is going to highlight the ubiquity of radio to consumers and decision makers alike, or the part which I’m most engaged in which is the technology front which is to deploy radio tuners in all cell phones and portable devices. All of these areas we’ve made very, very good strides and as a company and as an industry we’re fighting back and I couldn’t be more pleased that we’re starting to see the very early stages of the fruits of those labors.
Patrick Walsh : I want to walk through some of our financial results for the full year and for the fiscal fourth quarter. Our diluted net loss from continuing operations for the year ended February 29, 2008 was $0.77 per share compared with a loss of $0.33 per share during the prior fiscal year. Our diluted net loss from continued operations during the fourth quarter was $0.53 per share compared with $0.23 per share during the comparable prior period. Included in our fourth quarter operating loss was a $21.2 million non-cash impairment charge related to our St. Louis, Terra Haute and Belgium radio operations. Net revenues for fiscal 2008 were $361.2 million, a 0.5% increase over the prior period. Pro forma net revenues for the fiscal year decreased 1% compared to the prior year. During the fourth quarter 2008, our reported net revenues were $85.8 million, a 9% increase over the prior year. On a pro forma basis, net revenues increased by 7%. As Jeff alluded to, the strong fourth quarter revenue growth was a byproduct of revenue improvements in each of our operating units. Domestic radio net revenues during the fiscal fourth quarter increased 2.7% compared to a 5% decrease in our markets. The growth in domestic radio revenue includes certain revenue performance guarantees associated with our national sales representation agreement. Absent these performance guarantees, our fourth quarter performance was in line with our market. These results continue to demonstrate the gradual improvement in our results relative to market performance in the major metros where we compete. During the fourth quarter excluding any revenue guarantees, our New York cluster gained shared as HOT 97 posted revenue gains enabling the cluster to outpace the New York market with our revenues down 2.5% compared to a market being off 3.4%. Our Los Angeles stations were down 10% in the quarter compared to a market down 7% as POWER 106 continued to outpace the difficult LA market while we continue to face challenges getting traction at KMVN. Our Austin cluster continued to post gains being up 9% in the quarter. St. Louis gained share relative to its competitors while Chicago and Indianapolis both had challenging quarters. In the case of Indianapolis, this was driven in no small part due to the decision to move Heritage News Talk Station WIBC from AM to FM and introduce ESPN Radio at the new WFNI. These format changes have exhibited promising recent ratings developments but served to depress Indi’s performance in the fiscal fourth quarter. Our domestic radio markets are current pacing down 6% for the fiscal quarter ending May 31, 2008. Challenging months in March and May are sandwiched around a very successful month of April where we were up 5%. We saw strong performance in our large markets in the automotive, beverage and movie categories in April. However, this performance was not present in March and has not panned out to date in the month of May. Our international radio division capped off a record setting fiscal year with astounding fourth quarter performance. Net revenues for the fiscal year were $41.7 million, up 22% compared to the prior year. And in the fourth quarter, net revenues in our international division increased 31% to $13.5 million. Net revenues in Hungary were up 9% in the fourth quarter, Bulgaria up 35%, Slovakia up 65% and Belgium up 75%. Approximately 45% of these gains are attributable to the weakening US dollar during the fourth quarter. Irrespective of the foreign currency gains, the performance of our international division has been truly outstanding. Pro forma revenues in our publishing division were up 4% during the fourth quarter to $23.7 million on revenue gains in Atlanta Magazine, Cincinnati Magazine and particularly strong growth at our crafting publication Country Sampler. Our publishing division now represents 27% of our corporate revenues and continues to take on increasing strategic importance. As most of you know, in the past few days we announced an agreement to sell our last remaining television station. The FOX Network affiliate New Orleans WVUE. We sold the station to Louisiana Media Company Control to Tom Benson, the owner of the New Orleans Saints. The purchase price is $41 million with Emmis expecting to receive $35.5 million in after tax proceeds. Emmis will also retain networking capital expected to be approximately $4 million. The transaction subject to customary conditions including FCC approval is expected to close in the second half of calendar 2008. The company expects to use the majority of the proceeds to repay debt. I do want to highlight the continued strong performance of our team at WVUE which delivered 10% revenue growth for the past fiscal year and 9% growth in the fiscal fourth quarter. The team’s performance in the aftermath of Hurricane Katrina has been nothing short of heroic and we wish Tom Benson, Joe Cook and the entire team at Louisiana Media the best of luck. Back to domestic radio and some color on the fourth quarter results. Emmis’ national revenues were down 10% compared to our markets being down 12%. Our local business was off 7% against markets down 5%. Strong NTR results and growth in third party Interactive revenues contributed to our ability to keep pace with our market’s performance. Following our fiscal year end we announced the formation of Emmis Interactive LLC. Over the past year we’ve invested heavily in developing our interactive platform to enable us to not only continue to serve Emmis radio and publishing but also provide our award winning interactive platform, tools, software development and interactive sales training and development capabilities to other radio broadcasters and media companies. We have a number of radio and publishing clients already and expect that the strategic expansion of Emmis Interactive will enable our Emmis radio stations to continue to invest in our interactive capabilities to keep pace with larger media companies. Just this morning, as Jeff mentioned, we announced an agreement with Apple that enables us to market our Emmis Interactive iTunes store fronts to other radio broadcasters. We plan to continue to report Emmis Interactive results as part of our radio operations. During the fourth quarter our largest category automotive represented 11% of our radio revenues and automotive revenues decreased 11% year-over-year. Our second largest category media was adversely affected by the writers’ strike and saw revenues decline 16%. Our third largest category restaurants increased 5% during the quarter. Other top 10 categories that saw gains included financial institutions and entertainment. Top 10 categories experiencing declines included movies, retail, wireless, healthcare and beverages. During the fourth quarter sell out was up 6% and average unit rate down 12%. This trend is largely in line with the 12 month sell out and AUR trends. On the expense side, during the fourth quarter, our station operating expense excluding depreciation amortization increased 5.6%. Domestic radio expenses were up 5% as a result of expenses related to the strategic investment to expand Emmis Interactive. Absent these expenses fourth quarter domestic radio expenses were down 1%. The only other significant expense increase in the fourth quarter related to certain marketing expenditures in our New York radio market offset by lower expenses in all our other domestic radio markets. Late in the fourth quarter we announced that we reduced the side of the Emmis workforce by approximately 5%. The expense savings related to these personnel actions coupled with other cost savings initiatives are expected to staunch the growth in domestic radio expenses during FY09. International radio expenses during the fourth quarter increased 9% in part due to the weakening dollar along with increased selling expenses associated with our fast growing operations. Corporate expenses excluding depreciation amortization were down 14% in the quarter and 24% for the year. We anticipate corporate expenses to increase during FY09 at roughly the rate of inflation. I did want to call attention to one item in our press release. Beginning in the quarter ending May 31, 2008 we plan to begin recording direct overhead expenses for our domestic and international radio operation as a component of radio station operating expenses excluding depreciation and amortization. Previously, these expenses were a component of corporate expenses. On the balance sheet at 2/29/08, we had $438.7 million outstanding under our term loan. Our leverage ratio is defined by our credit agreement was 5.7 times and our fixed charge coverage 1.4 times. Our leverage coverage steps down to 6.5 times and fixed charge coverage steps up to 1.25 times at the end of our first fiscal quarter. Our weighted average cost of debt at 2/29/08 was 6.82%. On March 28th subsequent to year end we entered in to a three year interest rate exchange which fixed three month LIBOR at 3% on $100 million of notional principal. This swap coupled with an earlier interest rate swap agreement effectively fixes the interest rate on 60% of our term loan at a swap rate of 4.10%. Our capital spending in the fourth quarter was $2.9 million down 4% from the prior year. We anticipate capital expenditures to be approximately $7 million for fiscal 2009. One final item before we head in to Q&A, similar to other public companies Emmis has made the decision to discontinue its practice of providing quarterly revenue and station operating expense guidance for our domestic radio operations. Similar to our peers, the rapid changes in the media landscape necessitate wider ranges in forecasted outcomes providing for less and less reliable guidance. Our strong results this quarter relative to our prior guidance is an excellent example of the short comings of this historical approach. Obviously, with less than three weeks to go in our fiscal first quarter we have some view on pacing and passed along that information during these remarks. We will monitor common practice for quarterly guidance in the future but, for now, the plan is to discontinue providing quarterly guidance. With that, now on to the Q&A.
Operator: (Operator Instructions) Your first question comes from Victor Miller – Bear Stearns & Co.
Victor Miller – Bear Stearns & Co.: Jeff, you said you’re seeing signs of the bottom, you thought that definitely has been something you’ve been seeing for months and you feel better about it now. But, you’re still seeing pacing down 6% for the next quarter so can you talk about why you are comfortable with that? Secondly, you talked about Pat, being in line with the markets ex the guarantees, that sounded obviously like the market would have been down otherwise so how do we look at that -6% we’re looking at second quarter for domestic in light of what the impact would be on a pro forma basis including those revenue guarantees? And lastly Pat, could you just go over ex the sale of the New Orleans TV station, what does the balance sheet look like there and what does the leverage look like?
Jeffrey H. Smulyan : Victor, the first question obviously we felt a few months ago that we were at the bottom. The company in the last quarter has continued now to catch its peers and as we’ve said we feel that it will beat its peers this year. More than that, the number of initiatives we’ve taken corporately and as an industry, we think are starting to change the landscape against the back drop of an economy that is clearly off, in an industry which has been pacing down. We think it’s going to be a while but we also believe some of the steps we’re taking with Interactive, with our Broadcasters’ Traffic Consortium, some of the programming steps we’ve taken especially in New York and the sales initiatives; we think this is turning around. More so with the company than with the industry but, we think the industry is starting to move forward too.
Patrick Walsh : Victor, in terms of the pacing in the fourth quarter, we’re pacing down 6%. We do have certain national revenue guarantees during fiscal 2009 so we anticipate our results will be better than down 6% but I wouldn’t say it will be as profound as the uptick was during the fourth quarter where our domestic radio stations performed in line with markets that were down 5%. But, as you see, we reported net revenues up 3%. I don’t think the impact of the first quarter of any revenue guarantees that we recognize will be that pronounced.
Victor Miller – Bear Stearns & Co.: Is that because, is the revenue guarantee equal per quarter so the first quarter or this quarter is the lower percentage of revenues so therefore it’s most impacted, is that way?
Patrick Walsh : It doesn’t quite work that way. The guarantee itself is confidential per our agreement so we’re not going to get in to tremendous detail. And frankly, it’s one of the reasons we’re not providing guidance is because the number is somewhat uncertain until we actually close up each quarter’s results. Then in terms of the proceeds from New Orleans, as I mentioned in the note, we expect to garner $35.5 million and then collect approximately $4 million in receivables. We expect to use the majority of that to pay down debt so I would expect that we’d end up with senior debt just north between $400 and $410 million after we utilize the proceeds from the sale.
Victor Miller – Bear Stearns & Co.: And what is the chop off in terms of the multiple of your leverage once you take out, when do you look at the bank agreement, recalculate it, what does it do to your leverage? You were at 5.7% are you looking at 5.5%?
Patrick Walsh : Between two and three tenths of a turn.
Victor Miller – Bear Stearns & Co.: So that goes around 5.4%?
Patrick Walsh : Yes.
Operator: Your next question comes from Mark Wienkes – Goldman Sachs.
Mark Wienkes – Goldman Sachs: I’m just wondering with a few of the other privatizations across the industry having difficulty, are you allowed to buy back your preferred versus the common. And, is there anything, just your thoughts on buying that back instead?
Patrick Walsh : Our current authorization that our board of directors has approved is we have a $50 million authorization of which we’ve utilized $13 million to date to purchase common. Our current authorization does not include the preferred stock.
Mark Wienkes – Goldman Sachs: And you would need an authorization to do so?
Patrick Walsh : Yes.
Mark Wienkes – Goldman Sachs: Then the sell out down low doubles for the year is what you indicated for Emmis, it seems as though you’re doing your part whether intentionally or not to bring the supply in across the industry.
Patrick Walsh : Sell out was actually up, average unit rate was off.
Mark Wienkes – Goldman Sachs: Average unit rate is down double digits, right?
Patrick Walsh : [Inaudible] about six points.
Mark Wienkes – Goldman Sachs: Can you give us a level of where the sell out is ballpark?
Patrick Walsh : It’s roughly 80%.
Mark Wienkes – Goldman Sachs: What do you think it takes for the industry since we still have this fragmented ownership structure for the supply to come in line? Given the macro backdrop, assume no change I the macro backdrop, what do you think it takes to get the supply more in line with the current demand?
Jeffrey H. Smulyan : Mark, I’m not sure I know the answer. It’s the same old story, find ways to induce demand. I don’t think you’re going to change supply, maybe slightly.
Mark Wienkes – Goldman Sachs: You don’t think the industry, like everyone says let’s all go to eight minutes an hour?
Jeffrey H. Smulyan : Not as long as there’s a justice department in this country.
Operator: Your next question comes from Lee Westerfield – Harris Nesbitt.
Lee Westerfield – Harris Nesbitt: Three questions for me, the first one Jeff, if you don’t mind elaborating a bit on your Apple arrangement not just systematically but in economic term? Secondly, international, what was the impact of currency and also of specifically I think you mentioned but maybe I didn’t get that down on the Bulgaria acquisition? Then thirdly, just the detail on the national media rep contract, when the current period of guarantees will expire? Is that FY 09 or when does the guarantee minimum period run its course?
Jeffrey H. Smulyan : Lee, what we have with Apple is an exclusive licensing agreement so we can license the iTune stores that we developed to other radio broadcasters. We just think it’s another in our suite of services that our Interactive people can use. What was interesting about the iTunes store is our people actually built it and when other broadcasters when to Apple they said, “Well, we want to do what Emmis is doing, what you did for Emmis.” And basically Apple said, “We didn’t do it for Emmis, Emmis built it”. And, the relationship has worked very well and Apple basically said, “Look, we’d like you to do this, we’ll license you to send it to other broadcasters so that’s in a nutshell what it is.
Patrick Walsh : Lee, just to rattle off the other items, during the fourth quarter about 45% of the international results were attributable to the weakening US dollar. Info Radio we purchased in December which is our third national radio network in Bulgaria. We reformatted it with a classic rock format; the acquisition price was about $9 million US dollars. In terms of the national rep agreement, any revenue guarantees go through our fiscal year 2009 and then we’re on our own after that.
Operator: Your next question comes from Marci Ryvicker – Wachovia.
Marci Ryvicker – Wachovia: On the Emmis Interactive division, how much growth did it contribute in the quarter? Can you break out the revenues and the expenses? And, it seems like this division is going to be more material so why not report it as a separate line item? That’s the first question. Then the second is, I understand the reason for not giving revenue guidance but I would think you would have good control over expenses so why not provide at least expense guidance in the press releases?
Patrick Walsh : A couple of things, Interactive one of the reasons we’re not disclosing the results is they are still in material to our operations, they’re still early stage. Interactive is growing quite quickly inside of Emmis where we’ve got nearly $10 million in revenue and expect substantial growth next year as well as the fledgling activity and marketing our services to other media companies, radio broadcasters, publishers as well as working with advertising agencies to provide them with custom interactive solutions. The team’s off to a very good start but it’s still early days and I think by setting up the subsidiary I think we’re signaling that down the road we may envision, if they deliver the type of growth we expect, breaking out their results but it’s premature to do that. So, we’re expecting strong growth, we’ve invested significantly in the unit and that’s a place where I think the future is at Emmis. There’s going to be a lot of exciting things going on at Emmis Interactive and we’re going to be announcing a lot of those over the month and weeks to come. In terms of why no expense guidance, I think Interactive is one of those items, I think it is increasingly challenging to estimate the exact precise timing of expenses items when you’re building out an interactive unit like that. When we exactly add software developers or build out our platform we learned the exact timing of that is more and more challenging and if stuff falls at the end of one quarter or in to the next quarter it’s materially to our results. So we thought it was just wise to stand down at this stage.
Marci Ryvicker – Wachovia: But, did you say that Interactive division had $10 million in revenue for fiscal 08?
Patrick Walsh : I said that Emmis Radio of which is Emmis Interactive’s single largest customer and will continue to be for the foreseeable future did about $10 million in revenue.
Operator: Your last question comes from Jim Boyle – C. L. King & Associates.
Jim Boyle – C. L. King & Associates: Rick, do you see any later advertising buy placement or as it’s stabilized pretty much at the last minute pace?
Richard F. Cummings : It’s still very last minute Jim and that’s why forecasting has become so tough. We were pretty pleased that we came in and our forecast has been as accurate as it has been over the last couple of quarters but it’s still very last minute. I can give you a good example, the LA market in May, May has been a challenging month across all of our markets but May three weeks ago looked really bad, it looked like it was going to be down double digits. It’s by no means going to be that bad now. It’s still going to be negative but it’s probably four or five points.
Jim Boyle – C. L. King & Associates: Is it challenging just because of weak demand in some top ad categories?
Richard F. Cummings : Yes, I think its weak demand. I think it is a buyer’s market so I think they wait to the very last minute and that’s why it’s difficult to forecast with any degree of accuracy very far out.
Jim Boyle – C. L. King & Associates: Now with May and June historically the biggest revenue months of the year for the industry, does June feel more like April or May?
Richard F. Cummings : I think it feels more like April at this point than it does May. March and May look a lot alike then in the middle of that quarter we’ve got April which looked terrific. And, we spent at least a month on weekly calls with our managers trying to understand why April looked like it did and May looked like it did and I can’t tell you we have an answer for that. We think some of it might have been the writers’ strike, we think some of it might be the way the quarter’s break out on the calendar year that perhaps buyers had money that they placed in April and then had to pull some back in May but no one really knows for sure.
Jim Boyle – C. L. King & Associates: Is it mainly the economy? Or is it also continued loss of ad revenue share by the sector?
Richard F. Cummings : I don’t think it’s the economy. I think that’s something that’s going to be with us for a while but again, those are theories. We haven’t found anything in the data that tells us one way or the other.
Kate Snedeker : Thank you for joining us. A replay of the call will be available until next Monday the 19, 203-369-1082 or by visiting our website.
Jeffrey H. Smulyan : Obviously we’re against a backdrop of a challenging national economy and the radio industry certainly has been lagging that but, as I said we see some encouraging things. I want to thank all of our people who have really done some remarkably innovative things and we’re starting to see the fruits of those labors. We’re probably the most innovative this company has ever been in so many different areas and that coupled with what I think is a vigor on the part of the American radio industry to reinvent itself. We think leads finally to this company and this industry coming out of what has been a very, very difficult trough so I thank all of you.